Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Euroseas Conference Call on the Third Quarter 2021 Financial Results. We have with us Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Tasos Aslidis, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today. Forward-looking statement. Please be reminded that the company announced their results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I would like to remind everyone that in today's presentation and conference call, Euroseas will be making forward-looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to slide number two of the webcast presentation, which has the full forward-looking statement and the same statement was also included in the press release. Please take a minute to go through the whole statement and read it. And now I would like to pass the floor to Mr. Pittas. Please go ahead, sir.
Aristides Pittas: Good morning ladies and gentlemen and welcome to our scheduled conference call for today. Together with me is Tasos Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the third quarter and nine months period ended September 30th, 2021. Let us turn to slides three. Our income statement highlights are shown here. For the third quarter of 2021, we reported total net revenues of $23 million and net income of $8.5 million. Adjusted net income attributable to common shareholders for the period was $8.4 million, or $1.16 cents per share basic and diluted. Adjusted EBITDA for the period stood at $10.6 million. For the nine months period, our total net revenues were $55.6 million and net income was $10.2 million. Adjusted net income attributable to common shareholders was $19.1 million or $2.74 per share basic and diluted. Adjusted EBITDA for the period was $26.6 million. These results are strikingly better than our equivalent three and nine-month period results of last year and Tasos will go over them in more detail later on in the presentation. Please turn to slide four where we discuss our recent operating developments. On October 18th, 2021, we took delivery of motor vessel Jonathan P, a 1,740. TEU container fleet of vessel built in 2006, formally known as M/V [indiscernible]. Pursuant to the previously announced transaction on September 7th, 2021. Upon delivery of the company, the vessel commenced the sea charter as a net rate of $26,662 per day. On November 11th, 2021, the company announced the acquisition of M/V Leo Paramount to be renamed M/V Marcos V, a 6,350 TEU containership built in 2005 for $40 million. The vessel which is expected to be delivered to the company within 2021 will be financed by own funds and the bank loan. Contemporaneously with the acquisition, the vessel will enter into three-year time charter contracts at the daily rate to $42,200 per day, with the possible extension for an additional four years at the option of the charter at $15,000 per day. Continuing on the chartering front, Diamantis P was fixed for a minimum period of 36 to 40 months at $27,000 per day starting from October 2021. The EM Spetses was also fixed for a minimum period of 36 for maximum of 40 months at $29,500 per day starting from August. The Synergy Oakland was fixed for a fixed minimum period of 60 to 85 days at the $202,000 per day gross as from November 2021. Last, but not least, the EM Corfu was fixed repositioning charter to the Far East for the next drydocking beginning in December 2021 at a rate of $5,125 per day for the first 37 days and $37,500 per day thereafter. Two of our vessels passed a special survey with drydocking -- with the drydock in the third quarter; Diamantis P for 46 days between September and October 2021 and Evridiki G for 38 days from mid-July to around mid-August of 2021. Please turn to slide five where you can see our current fleet profile. Euroseas current fleet is comprised of 16 vessels now, including 10 feeder and six intermediate containerships with fleet average days of about 16 years in TEU terms. After the delivery of the two feeder containership newbuildings in the first and second quarter of 2023, Euroseas' fleet will consist of 18 vessels with a total carrying capacity of 56,000 TEU. Slide six shows on vessel employment chart. As you may see coverage for the fourth quarter of 2021 stands at the 100% and the contracted EBITDA $28.5 million. In 2022, we have already covered 68% of our vessel days with the contract EBITDA level of about $60.8 million. Whilst in 2023, our coverage stands at 40% and contracted EBITDA at $47.7 million. Our contracted average time charter rates for the fourth quarter of 2021 stands at about $30,000 per day, driven up by the high $202,000 per day charter of the Synergy Auckland. While for 2022 and 2023, it is estimated that $24,000 and $27,500 per days respectively. Let's now turn to slide eight to review how time charter rates have developed in the last 10 years. As you can see all previous moves seem meaningless in front of the huge heights that rates have been climbing to since the fall of last year, reaching of course new all-time highs by far exceeding previous highs. The health of the market is reflected in all the data points in slide nine, where we give a bird's eye view of the general container market for the third quarter and beyond. As shown in the table 10, time charter rates across all segments skyrocketed over the past 12 months and have reached the all-time highs just described. During the third quarter, the smaller vessels rates caught up with those of the larger ones and doubled relative to the second quarter, whilst for the biggest hits, the increases were between 50% to 80%. As of November 2021, rates are still generally above the average of Q3, but we have seen over the last month, a small correction over the peak values that were witnessed in early October. The average second hand price index shows the level -- rose on average by about 35% in the third quarter of 2021 over the second quarter of 2021. Price increases vary because different age groups with the answer vessels increasing even over 100%. During the third quarter, the newbuilding prices increased by approximately 6% due to steel prices being on the rise and strong interest for newbuildings on the back of the containership market prices. The inactive containers in containership fleet as of October stands at about 140,000 TEU, approximating 0.6% of the fleet, the lowest level. The percentage of containers in scrap to-date has dropped dramatically to approximately 12,000 TEU or 0.05% of the fleet, again, the lowest point ever. This is despite the fact that prices have increased to 615 per lightweight tonne due to the high demand for steel. Overall, the fleet has grown by 3.6% year-to-date, without of course, accounting for idle reactivations. The order book has more than doubled in the last six months with the current orderbook to fleet ratio hovering around 23% compared to only 10% six months ago. Please turn to slide 10. Global recovery continues, albeit a bit weakened than the previous forecast of the IMF. Compared to the July growth forecast, the global growth projections for 2021 in their October report has been revised marginally down to 5.9% from 6%, but is unchanged for 2022 at 4.9%. This modest headline revision for 2021, however, the reflects more difficult near-term prospects for the advanced economy group due to supply disruptions fueled by higher commodity prices, and second thoughts that occur on whether the resulting inflation is transitory or not. Particularly in the U.S. is expected to grow 6% for 2021 below its July forecast of 7%. The downward revision reflects a slowdown in economic activity, resulting from rising COVID-19 cases and delayed production caused by supply shortages and the resulting accelerating of -- acceleration of inflation. Prospects for emerging markets and developing economies have been marked down for 2021, especially for emerging Asia. China's economy is expected to grow 8%, slightly less than the July forecast due to scaling back of public spending, while India's growth forecast is retained by IMF at 9.5% for 2021. Beyond 2022, which has a force [ph] and is expected to grow strongly at 4.9%, the IMF forecast still reasonably strong global growth level of 3.3% in 2023. If you look at the containerized trade growth in TEU miles based on Glaxo's projections for 2021, we see that demand growth expectations continue to be on an upward trajectory of 6.7% for this year. For 2022 and 2023, containerized trade is expected to grow at healthy levels of 3.6% and 3.5%, respectively. It should be mentioned that all the above forecasts should be taken with a grain of salt as predicting the future is always difficult. It is perhaps even harder now, due to the disruptions caused by COVID-19 which is vastly changing established life and trade patterns. It's unknown duration interacts with the uncertainty of the geopolitical developments, global financial markets, and climate sustainability issues to make forecasting even more thick. Anyway, let's go to slide 11 to review the containership age profile and delivery schedule. As you can see in the containership age profile chart on the left side of the slide, over the containerized fleet overall is a young fleet with a mere 7% of ships being above 20 years old. However, the older vessels are mainly concentrated in the smaller classes where our ships operate. The right side charts shows delivered schedule of the current containership orderbook, which is expressed as a percentage of the fleet. The circled figures for 2021 to 2025 reflects the orderbook before scrapping and slippages. Currently, the total containership orderbook stands at 3.2% of the fleet. This is still historically low figures despite the recent rise. The majority of deliveries are scheduled for the second half of 2023 onwards. Thus, over the next couple of years, especially during 2022, fleet growth should remain modest and provide us with opportunities to resolve our vessels at very attractive rate levels. Please turn to slide 12, where we discuss the outlook summary. It is evident that global recovery continues in the solid pace despite the Delta variant of COVID-19 being so contagious and energy price significant increases, which are delaying and reducing economic growth. While containership trade remains positive with moderate supply growth in 2021 and 2022, the recent surge in ordering is likely to lead to accelerated supply growth for mid-2023 onwards. Port congestion has continued to significantly impact the containershipping markets leading to excessive wait times and disrupting operator schedules. These logistical bottlenecks have resulted in new highs in container freight rates, which are expected to remain at least throughout the first half of 2022. The short-term outlook therefore, looks optimistic, reinforced by the logistical disruptions on the firm trade demand. Additionally, limited supply growth in 2022 should provide rate support before increased newbuilding deliveries for mid-2020 kick-in. In the medium to long-term, fundamentals are complex, with a range of factors likely to have an impact, including uncertainty demand for vessels eases up once disruptions ease, material supply pressure from 2023 onwards due to increased deliveries, which may overtake demand growth, and thirdly, and opposingly, new environmental regulations that will probably result in even slower steaming by 2023, 2024, effectively removing capacity from the market. Let's move to slide 13. Under this sustainably high demand, firm rates and prices are expected to prevail for the ensuing months. The left side of the slide shows the evolution of the one year time charter rates for containers of 2,500 TEU since 2000. As a discussed, we are witnessing the highest charter rates in the last 20 years. According to Klaxons last week, one year daily time charter rates for 2,500 TEU containerships stood at $70,000 per day, that's $3,000 per day off its speed of $73,000 per day in mid-October. The right hand side of the slide shows the vessel values in relation to historical prices since 2011. As we can see, current containers values have significantly increased above median and average levels and they are now the highest they have been over the last decade and actually higher [ph]. In this current market environment and container rates at present levels or perhaps continuing to rise, we expect our profitability to rise strongly as well. Additionally, with the increased visibility of our earnings, which now extends into next year and well into 2023, we are able to better formulate our growth strategy. We expect that the buildup in cash will be extremely significant during the next two years and we intend to use it in the best possible way for the benefit of shareholders. We remain committed to being a key long-term participants in the feeder intermediate containership segment as evidenced by our recent newbuilding orders and the acquisition of the two vessels with attached charters that through the duration of the charter periods, amortized vessels down to scrap values, while still offering the potential for significant upside. We will continue to implement such [indiscernible] projects when you can find them. Additionally, we will continue using our listing as our potential platform to consolidate privately owned vessels or fleets as done in 2019 or rewarding our shareholders by reinstituting common stock dividends or buying back shares when such actions make sense for our investors. Of which my family remains the biggest one. And with that, I will now pass the floor to our CFO, Tasos Aslidis to go over our financial highlights in further detail.
Tasos Aslidis: Thank you very much Aristides. Good morning from me as well ladies and gentlemen. I will now take you through the next five slides of our presentation, give you an overview of our financial results for the third quarter and nine months period ended September 30th, 2021 and compare them to the same period of last year. For that, let's turn to slide 15. For the third quarter of 2021, the company reported total net revenue of $23 million, representing an 87% increase of our total net revenues of $12.3 million during the third quarter of 2020, which was mainly the result of the carrier average charter rate our vessel earned in the third quarter of this year as compared to the previous year. Although partly offset by the lower average number of vessels we operated in the third quarter of this year. The company's reported net income and net income attributable to common shareholders for the period was $8.5 million as compared to a net income of $0.2 million and the net income attributable to common shareholders of $0.03 million respectively, for the third quarter of last year. In average, 14 vessels were owned and operated during the third quarter of 2021, earning another time charter equivalent rate of $19,417 per day compared to [indiscernible] vessels of owned and operated in the same period of last year, adding another time charter equivalent rate of $8,403 per vessel per day. Interest and other financial cost for the third quarter of this year amounted of $0.6 million compared to $0.9 million for the same period of last year. This decrease being due to the decreased level of debt that we carried and decreased average weighted LIBOR rate in the current period compared to the same period of last year. Depreciation expense remained unchanged roughly at $1.6 million for both quarters, although the other number of the vessels operated this quarter is 14 as I mentioned from 16.5 from the same period last year. Most of the additional vessels we operated last year were fully depreciated -- and to the contrary to the depreciation. Adjusted EBITDA for the third quarter of 2021 was $10.6 million compared to $1.2 million achieved during the third quarter of 2020, reflecting a 729% increase. Basic and diluted earnings per share attributable to common shareholders for the third quarter of 2021 were $1.18 and $1.17 respectively, calculated from 7.2 million shares and 7.24 million shares respectively compared to basic and diluted earnings per share of $0.01 for the third quarter of 2020 calculated from 5.7 million basic and diluted weighted average number of shares outstanding. Excluding the FX and the income attributable to common shareholders for the quarter will be unrealized gains on derivative, the adaptive earnings attributable to common shareholders would have been $1.16 basic and diluted compared to an adjusted loss of $0.26 per share basic and diluted for the quarter ended September 30th, 2020. There to excluding the annualized loss on derivative and the net gain on the sale of assets. Usually, secured channel does not include these items in the published estimates of earnings per share, that’s why we are making the investment too [ph]. If we look now that our numbers for the first nine months of 2021, the company reported total net revenues of $55.6 million, representing a 35% increase over total net revenues of $41.3 million during the first nine months of 2020, again as a result of higher other charter earnings -- charter rates that our vessel showed compared to last year, despite again the fact that we operated few vessels. The company reported net income for the period of $20.2 million and net income attributable to common shareholders of $19.6 million as compared to a net income of $3.5 million and net income attributable to common shareholders of $2.9 million for the first nine months of last year. On average, this first nine months of 2021, we operated 14 vessels earning another time charter equivalent rate of $15,461 per day compared to 18.2 vessels in the same period of last year, earning on average $9,171 per day. Interest and other financing costs for the first nine months of 2021 amounted to about $2 million compared to $3.3 million for the same period of last year. This decrease is due the decreased levels of debt and decreased LIBOR EBIT we paid in the current period compared to the same period of last year. Depreciation expense for the first nine months of 2021 was $4.8 million compared to $5 million during the same period of last year and the same comments I made for the contribution of the balance sheet of last year. Adjusted EBITDA for the first nine months of 2021 was $26.6 million compared to $9.7 million during the first nine months of 2020, reflecting 175% increase. Basic and diluted earnings per share attributable to common shareholders for the first nine months of 2021 were $2.84 and $2.82, respectively calculated on 6.9 million and 6.94 million shares weighted average number of shares outstanding, respectively compared to basic and diluted earnings of $0.52 for the first nine months of 2020 calculated from 5.62 [ph] million basic and diluted weighted average number of shares outstanding. Excluding the gains here, the effect on the income attributable to common shareholders for the nine months of 2021 of the unrealized gain on derivatives, the adjusted earnings per share would have been $2.72 basis and 2.74 diluted compared to adjusted earnings of $0.15 per share basic and diluted for the same period in the first nine months 2020. Let's now to Slide 16 to review our performance in greater detail -- our fleet performance. As usual, we will start our review by looking first at our utilization rates for the third quarter, this year and compare them to the same period of last year. Our fleet utilization rate is broken into commercial and operational. Starting first with our commercial utilization rate we were pleased to see the 100% for the first -- for the third quarter of 2021, compare to 97.9% the same period of last year. Our operating utilization rate for the third quarter this year 99.3% compared to 99.9% for the same quarter of last year. I should remind you here that our utilization rate calculation does not include vessels in drydocks or scheduled repairs, if any of those events occur during the period we are considering. As I mentioned earlier, on average, we operated 14 vessels during the third quarter of this year, equivalent rate of $19,417 per day, compared to 16.52 vessels for the same period in the third quarter of 2020 and average rate of $8,403 per vessel per day. Our total daily operating expenses, including management fees, general and administrative expenses, but excluding drydocking cost averaged $7,621 per vessel per day in the third quarter of this year, compared to $6,759 per vessel per day during the same period of 2020, reflecting mainly increase -- improve related cost. Let's now look at the bottom of the table to our daily cash flow breakeven levels presented here again on a per vessel per day basis. For the third quarter of 2021, our cash flow breakeven level was $11,576 per vessel per day, compared to $7,924 per vessel per day for same period of last year as you can see mainly because of the lot more drydocking expenses. Let’s now review remaining figures that are shown in this slide, and look at the right part of the slide for the nine month figures. During this nine month period, our commercial utilization rate it was again 100%, and the operational utilization rate was 98.5%, compared to 97.2% commercial and 98.5% operational for the same period last year. On average, 14 vessels were owned and operated in the first nine of this year , earning an average time charter equivalent rate of $16,461 per vessel per day, compared to 18.17 vessels in the same period the first nine of 2020, earning an average time charter equivalent rate of $9,171 per day. Our total daily operating expenses, again including management fees, G&A, but excluding drydocking cost amounted $7,036 per vessel per day compared to $6,134 per vessel per day for the first nine months of last year. Looking again at the bottom of the table, our cash flow breakeven levels for the nine months of this year which stood at $10,079 per vessel per day basis, compared to $8,631 per vessel per day for the same period of 2020. Let's move now to slide 17. This is a new slide over the last two earnings call, we provide our shareholders and investors with a tool to our shares the earning potential of our fleet in the rest of this but also 2022 and 2023. The table shown in this slide is two parts. The first refers to our already in place contracts. The table shows the available days for hire making assumptions for the scheduled drydockings, the number of contracted days in each period, as well as the differential of the two that is the remaining what we call open days. As you can see, almost all of our vessels are contracted for the fourth quarter of this year, while 68% of our available days are contracted for 2022, and even 40% of our days are contracted for 2023. For the contracted days, the table also shows the average contracted rate which allows you by making an assumption for the operating expenses and the G&A expenses per day to estimate our likely EBITDA contribution. For the remaining open days, the user of this calculator or to make an assumption for the daily rate to be earned which would allow him or her to estimate their own EBITDA contribution of the open day. To provide just an indicative calculation, this example uses the same rate as the one of the contracted days one could see the effect from the total EBITDA for three period as shown fourth quarter of 2021, full year 2022, and full year 2023. I would like here to mention that based on the current rates, as indicated by the new ConTex Index, our Open Days for example in 2022, should earn on average rate of more than $40,000 per vessel per day with significantly above the currently contracted rate -- for the contracted days for 2022, as shown in this pages. This is applied to our EBITDA from 2022 as a result with approach of possible exceeded 140 million [ph]. This overall exercise is meant to provide a tool to calculate EBITDA the remainder of this year 2022 and even 2023, by entering once shown assumptions above the rates for the Open Dates as I explain. However, it is hard not to observe that even if we just assume that our open days will earn the rates as shown in the table, which as I mentioned are just above half of the rate as rates current in the margin, at least for 2022. Our EBITDA for fourth quarter of this year would more than double as compared to the result that we get in the third quarter while in 2022 and 2023 we will see increase by 50% on others. Let’s now move to slide 18 to review our debt profile. This slide shows in the bottom part of the slide, our cash flow breakeven level expectation for the next 12 months and on the top part of the slide, we can see our scheduled debt repayments over the next several years. Our loan profile show is on pro forma basis, that is inclusive of a few development that took place after the end of the quarter specially, a $15 million we drew in October partially finance the acquisition of Jonathan P another $15 million loan that that were in the final recommendation phase that we are going to early and the negotiated loan to partially finance acquisition of Leo Paramount which is about. Top state of the chart in the top left shows also schedule repayments presently until 2024. For example our loan repayment schedule fourth quarter of this year 3.9 million. The light grey or light blue part of the bar shows our schedule balloon payment. For example in the fourth quarter of 2021, the balloon payment of 2.4 million, which will cover around in 2022 versus smaller balloon of $1.9 million and in 2023 smaller balloon payment of $30.7 million and further out $1.8 million balloon in 2024. Typically, we have been able to refinance our balloon payments, if we decided to do so. Before we leave this slide, a quick note on the cost of our debt as it relates to the loans outstanding as of September 30, 2021. The average margin debt we pay is about 3.6%, and assuming the LIBOR rate of 0.3%, our senior debt cost on average about 3.9%. The cost of temporary loans as I mentioned above average margins in the range of 2.4% to 2.8% which you can realize we further drive lower the cost of our debt. Looking at the bottom of this table, where we can see our cash flow breakeven level expectation for the next 12 months in dollars per vessel per day. You can see that our loan repayments over the next 12 months are to make $4,259 per vessel per day contribution to our cash flow breakeven level. If we make similar assumptions for the remaining components of our cash flow breakeven level that is operating expenses, G&A expenses, interest payments, and drydocking cost, we can come up with a cash flow breakeven level for the next 12 months of just about $12,335 per vessel per day. Let's now move to slide 19 provides on slide the presentation. This slide provides highlights from our balance sheet, adjusted those to reflect the market value of the fleet in newbuilding contracts. As of September 30, 2021, on a book value basis, we had cash and other assets of about $15.1 million, and the book value of our vessels including advantage for the newbuildings and the acquisition of Jonathan P of $104.6 million giving us a total book value of our assets of $119.7 million. On the liability side, we had an outstanding bank debt of $59.7 million, and banks other liabilities of $6.8 million producing a net book value for our company of $53.2 million. However, the market value of our fleet is much higher than book value, even adjusted for the negative value of the charters, which is a result of an increasing market, our vessels are estimated to be about $375 million inclusive of the appreciation of the value of our NB contracts. If we now replace the book value for our vessels with the market values adjusted for charters as I mentioned above, we can calculate the net asset value of our fleet to be in around $325 million or around $45 per share. Recently, our shares have been trading in the range of $30 to $36 per share. And although this share price reflects a significant increase since the beginning of the year, it still represents yet a significant discount to our net asset value per share, thus offering good appreciation potential for our shareholders and good investment opportunities for other investors. And with that, I would like to pass the floor back to Aristides to continue our discussion.
Aristides Pittas: Thank you, ladies and gentlemen. And I now open up the floor now for your questions.
Tate Sullivan: Hi. Thank you. Hello. First, if I may on Leo Paramount acquisition at the 2005 built ship. And you mentioned also earlier amortizing down the cost of that acquisition to near scrap values. How long do you expect to be able to operate that ship? First question and I have a follow-up question as well please
Aristides Pittas: Sure. The ship will be 20 years old at the expiration of the charter. Historically, we've operated ships up till even when they are 30-year old. I would expect that we can operate it technically easily up till the time that it's 25 years old. It will depend, of course, on commercial considerations at the time, and also the background regarding the energy matters. But I think that if the markets are decent, then we will be able to operate it for another five years after the expiration of the charter. 
Tate Sullivan: Great. And the comment about operating -- amortizing the value of acquisition down to scrap and on the future potential environmental background in the sector, I mean, do you forecast higher scrapping values for your ships as demand for recycled steel increases? Or is that not a major consideration as you evaluate additional acquisitions?
Aristides Pittas: No, we don't assume higher valuations scrap by using in fact our base case scenarios are based on lower scrap values than current scrap values. Scrap prices at $615 per tonne today are higher than what with based on calculations on today. It might be higher, it's probable that it’d be higher, but we are more conservative on our models when we model things.
Tate Sullivan: Great. Thank you for that additional detail for that. Thank you.
Aristides Pittas: Thanks.
Tasos Aslidis: Thanks, Tate.
Operator: Thank you. Your next question comes from the line of Poe Fratt from NOBLE Capital Markets. Please go ahead. Your line is open.
Poe Fratt : Good morning Aristides. Good morning or good afternoon to both of you and Tasos. Just a quick follow-up on the Marcos V, would depreciable life are you going to use on that?
Tasos Aslidis: I mean, accounting-wise, its 25 years.
Poe Fratt : Okay. And then when you look at the option that was given in the fourth year at $15,000. What should we read into that really good rate for the first three years, but then stepping down to $15,000? Can you just give us a little color on, is that where you think the market may be for that type of vessel? Or is that something that you -- it was a trade-off with a charter as far as getting a higher rate for the first three years, and then a lower rate in the fourth?
Tasos Aslidis: It's the latter for. It was a trade-off to get the fixed charter for three years at that level. So we had to do that. But because with the three years charter, we bring the vessels down to scrap, we felt quite comfortable. And even with the $15,000 level, when you assume that the operating expenses will be around 780, you're still making money even at $15,000 a day. So it's still contributing, it's not contributing that much. But who knows how the situation will be after four years.
Poe Fratt : Yes. I appreciate the -- your use of the word complex. So it's not where you think the market will be in after three years. It's more just the negotiated transaction. Okay. And then can you give us an idea of sort of what are you thinking as far as the Oakland and the Corfu as far as what you are willing to -- how are you -- are you going to keep those short or try to get time charters? Or can you give us an appreciation for sort of what to expect on those two, which are the nearest ones. And then both…? 
Tasos Aslidis: Both are -- these are the nearest ones. I think, we will try and we are already trying to see if we can get one of the two ships on the long-term charter side, at least. So, our efforts are primarily towards getting one of the two vessels on a long-term charter, and maybe playing the other one on the shorter term charter. This is our main source, but nothing is finalized and we will see within the next 10 days or so.
Poe Fratt: Okay. Would you be willing to -- probably don't want to negotiate in public, but would you be willing to sort of give ranges on both of those as far as what you might expect?
Aristides Pittas: I wouldn't want to -- as you say to commit here in prejudice have negotiating position at all here and not give any misleading data. So I'd rather not say. But obviously, the longer the duration, the lower the rate will be. The shorter the duration the higher rates, that’s obvious.
Poe Fratt: Do you see any hesitancy at this point in time, given where the order book is on charter is committing to longer charters in the two to three range to get you into that sort of complex timeframe of 20 -- 2023, 2024? Or is the market still tight enough where people are willing to make long-term commitments?
Aristides Pittas: But I think the market is still tight enough, we see quite a lot of interest on the ships, I have to say, and we have seen some hesitancy to continue fixing higher rates than previously done. So there is some small resistance in the charters. But we will see if this is just temporary or because we are approaching the Christmas holidays and people are taking a breath. I think this is highly probable. But yes, the truth is that we are seeing a little bit of resistance to move towards higher levels and this is seen in the market for sure.
Poe Fratt: And then one thing that surprised me during the quarter was the drydocking expense, it seemed a little high in the kind…?
Aristides Pittas: And you're absolutely right and you are absolutely right. The logistical issues that have been created are not only on the operating of the ships that will get in and out of the boat and loading and discharging the cargo, it has also affected the drydocking of vessels, less people are working in the yard, it's more difficult to get your spares to the shipyard, it takes more time to do things, all these adds to the cost. And as you rightly said, we have gone a little bit above budget on both drydocks. But it's obviously peanuts compared to what we are earning on the ships. But you are right that there has been a slight increase in the drydock cost and time, because the duration also plays an important role.
Tasos Aslidis: The duration is important as well.
Poe Fratt: Yes, I'm sorry, Tasos, I didn't understand that.
Tasos Aslidis: The longer duration means less days during the period to our revenues and that’s why we see the -- some deviation from what we were expecting.
Poe Fratt: Yes, the opportunity costs. Would -- and so if we look at the fourth quarter, you still have the -- I will butcher this name, but Evridiki?
Aristides Pittas: Evridiki, it's the name of my grandmother.
Poe Fratt: I'm sorry, your grandmother and I apologize for that
Aristides Pittas: It's okay. It's okay.
Poe Fratt: So that's still -- that is still in process. How should we be -- which we'll be using for an estimate for drydocking expenses in the first -- the fourth quarter? And then even if you could take stab at the Corfu which would be in drydock in January?
Aristides Pittas: Yes, Tasos, please.
Tasos Aslidis: Yes, as I think about the million -- this would be on $1.2 million, I would say.
Poe Fratt: Okay. And then--
Aristides Pittas: One reason, why we took these low paying charter for the Corfu to take it China is to pass the cost of the drydock, because China is the most efficient place to drydock ship, it's faster and cheaper. So it made sense to take a poor paying charter to get down there quickly and save money on the drydock.
Poe Fratt: And you protect yourself if they try to use it longer than you forecasts or your drydock slide is available, right? So jumps to 35, which more than compensates you for that, right?
Aristides Pittas: Yes, yes, exactly.
Poe Fratt: What -- and when I look at the OpEx, Tasos. I think you sort of alluded to it, but there was a fairly reasonable jump in the third quarter versus second quarter and even versus this third quarter last year. Is that something we should build into our estimates looking at the fourth quarter and then 2022, or do you think there were a couple of factors in the quarter that might not be present in the ensuing quarters?
Tasos Aslidis: I mean, definitely a couple of factors that they unique to the quarter, a couple of COVID incidence in some of our vessels that created more crewing cost of creations and replacement. But as I alluded to saying that most of the increase was due to crewing cost. And overall, dealing was crewing is a little more complicated given the situation now. So a piece of bit we might see in the following quarters, I cannot say that for sure. But we'll see -- we’ll have to wait and see how the next quarter will play, but the piece already was on certain incident that hopefully will not be repeated.
Poe Fratt: And then am I reading that right that you're going to for the Marcos V you're going to finance 85% of that purchase price or 34 million?
Aristides Pittas: That is correct. That is the intention and that is the preliminary arrangement with a bank that we are talking to. The vessel is financed on the basis of its charter free value, which is the high 60s and 70, I think 70 was the valuation with that. So this is how the purchase was of like 50% of the charter fair value.
Poe Fratt: Okay. And then I know it's early, you're still sort of a year away, but are you seeing any interest in the newbuilds as far as chartering the newbuilds? Is it too early? Or when should we sort of expect to start to see some interest, if you haven't seen it yet, on chartering the newbuilds?
Aristides Pittas: It is too early for us to look at that. So I think this is -- we still have maybe six months before we look into it.
Poe Fratt: Okay. And then you -- Aristides, you’ve talked about potentially dividends, share buybacks, I'm little surprised the reaction to your stock price today. But is there anything that you need to do to your existing credit agreements, or the new credit agreements to allow dividends or buybacks? Or would you be once you look at a couple days, you might be able to implement at least stock buyback or something like that?
Aristides Pittas: We have no restrictions whatsoever from our banks in doing either of these events. As long as we comply with all our covenants, we can do that. And we do comply with all our covenants. So we are very safe here.
Poe Fratt: Great. I appreciate the time. Thank you.
Tasos Aslidis: Thank you, Poe Fratt for your questions.
Operator: Thank you. With that, I will now hand the floor back to CEO, Aristides Pittas for closing remarks.
Aristides Pittas: Thank you all for being with us today for this call and we'll be again with you in February to go over the end of the year results. Thanks a lot, and have a good day.
Tasos Aslidis: Thanks everybody. Thank you for [Indiscernible].
Operator: Thank you. That does conclude today's conference call. Thank you for participating you may all disconnect.